Operator: Hello, and welcome to the PetVivo's Holding 2024 Fiscal Year and Third Quarter 2023 (sic) Earnings Call. Thank you for joining us this afternoon. I'd like to welcome John Dolan, Chief Business Development Officer and General Counsel for PetVivo. John?
John Dolan : Thank you, Chris. Greetings, and welcome to the PetVivo Holdings third quarter of fiscal year 2024 financial results conference call. My name is John Dolan, the Chief Business Development Officer and General Counsel at PetVivo. Today's call is being webcast and will be posted on the company's website for playback. Before we begin, I would like to remind everyone that comments made during this conference call by PetVivo's executives may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subject to risks and uncertainties. Any statements I refer to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. PetVivo's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. PetVivo filed its earnings release and Form 10-Q with the SEC today, which provide a detailed discussion of our financial results. These documents can be found in the SEC website and the Investor Relations section of our website. I would now like to turn the call over to John Lai, the CEO and President of PetVivo. Please go ahead, John.
John Lai: Thank you, John, and welcome. Also joining me today is Bob Folkes, our CFO. I would like Bob to begin by discussing some of the highlights and financial results for the third quarter of fiscal year 2024. John Dolan will provide an update on our clinical studies and I will conclude with sharing some additional thoughts on our business strategy and key focus areas for fiscal 2024, before we open the line up for questions. I will now turn it over to Bob.
Bob Folkes: Thank you, John, and good afternoon, everyone. Our key highlights for the third quarter of fiscal year 2024 were the following: We entered into a non-exclusive distribution agreement with Covetrus North America LLC to distribute Spryng in the United States. We released clinical study results, which demonstrate the benefit and tolerability of an intra-articular injection of Spryng into the stifle joint for dogs with suspected cruciate ligament rupture, kind of similar to ACL tear in humans. We reported revenues of $596,000 as compared to $510,000 in the third quarter of fiscal year 2023. Revenues for the third quarter included a net revenue of $440,000 as compared to $457,000 in the third quarter of fiscal year 2023 from shipments of Spryng to MWI Animal Health, a subsidiary of AmerisourceBergen, who is a leading distributor of animal health products pursuant to our distribution and sales agreement with MWI. We reported $106,000 in revenue from shipments from -- of Spryng to Covetrus. And we also reported revenues of $49,000 on direct sales to veterinary clinics as compared to $54,000 in the third quarter of fiscal year 2023. We raised $1,248,000 on February 2, 2024, from the sale of approximately 1,386,000 units consisting of 1 share and 1 warrant. And we ended with $519,000 in accounts receivable at December 31, 2023. I would like to turn the call over to John Dolan to provide more color on this cruciate ligament study and on our additional clinical studies. John?
John Dolan : Thank you, Bob. As mentioned in our earnings call in November 2023, the final results of our clinical study conducted by Ethos Veterinary Health, a nationally renowned operator of 145 world-class specialty veterinary hospitals was presented at the American College of Veterinary Surgeons Conference on October 12 through the 14, 2023, in Louisville, Kentucky. The study involved evaluating the benefit and tolerability of intra-articular injection of Spryng into the stifle joint of dogs with suspected partial or complete cranial cruciate ligament rupture. The final results of the cranial cruciate disease study provided by Ethos indicated significant improvement in 39 dogs injected with Spryng. All primary and secondary clinical endpoints related to pain, lameness and quality of life were achieved. It is our position that this clinical trial demonstrates that Spryng is a reasonable non-invasive alternative for patients with cranial cruciate ligament disease when patients and/or owner factors preclude surgical intervention. We also previously indicated in our earnings call in November 2023 that we anticipate the release of data related to two tolerant studies measuring the tolerability of dogs and cats receiving intra-articular injections of Spryng in their hips, shoulders, elbows and stifles. We have completed the release of the data from these 2 tolerant studies, both demonstrating that tolerance of dogs and cats injected intra-articularly with Spryng. This tolerability data is available to veterinarians and others on our sprynghealth.com website. Additionally, we have completed data accumulation for the first cohort of dogs involved in a clinical study, evaluating the efficacy of an intra-articular injection of Spryng to manage unilateral or bilateral coxofemoral, that's hip, joint osteoarthritis, an abstract highlighting the favorable results found in this first cohort of dogs. This study will be presented at the Veterinary Orthopedic Society Conference today on February 12, 2024. Actually, it happens this evening. Such results demonstrate that Spryng is a minimally invasive management option for dogs suffering from Coxofemoral, i.e. hip joint osteoarthritis. We anticipate the final data of this study to be released in approximately the fourth quarter of 2024.  The acquisition of clinical data proving the safety and efficacy of Spryng in a multitude of indications is incredibly important to PetVivo. The company has another three canine studies and two equine studies currently progressing or in anticipated progress with results from these studies planned for release in 2024. Furthermore, the company plans to organize and conduct more clinical studies to expand our library of data, which demonstrates the safety and efficacy of Spryng in a variety of indications. Such a library will assist our sales team to gain veterinarian acceptance of Spryng. I would like to turn it back over to John Lai.
John Lai: Thank you, John. We have recently witnessed a strong movement of positive awareness by small animal veterinary doctors of our product Spryng. The awareness has been enhanced due to principal factors following positive results from the CCL study of clinical data that was presented by Ethos. And then this evening at VOS, Veterinary Orthopedic Societies Conference on hips, we expect to see another very good type presentation by the clinician. We've been getting peer reviewed articles such as Dr. Tammy Grubb. She is recognized as an expert in small -- well, canine pain management. She is a professor at Washington State University Veterinary School, and she basically did a peer review article in the Today's Veterinary Practice July issue of 2023, which she indicated that Spryng should be looked at as first use product, as well as also a good choice as an alternative for dogs that cannot take NSAIDs, which is about 5% of the population in the United States out of the 83 million dogs. We've also been getting numerous key opinion leaders mentioning Spryng at conferences. That's a very powerful way of really getting the word out to the small animal doctors. Our first one of the year in terms of multiple -- trade shows was the veterinary medical expo in Orlando mid-January where we had five veterinary doctors that were speakers mentioning the Spryng product, which was a very nice surprise that drew very good attendance and audience into our booth. And one of the things we're recognizing is that three years ago, when we were at this conference, many of the veterinary doctors approached the booth and was not familiar with Spryng.  Last year, they were familiar with it, but didn't know any vets that were using it. This year, they were familiar with it and knew vets that were using it and hearing really good things about and wanted to learn more and we were able to convert a lot of those into orders. Also, we signed Covetrus at the end of December. So that gives us the top two distributors, which gives a lot of confirmation of what they see this product potential is as we move forward. So we have the number 1 and 2 players in the United States in terms of distribution. Also, the combination of data, KOLs speaking positively about our product and allowing vet acceptance of Spryng in dogs and cats with the following events that have been happening. Finally, we plan to increase our social media focus by highlighting our clinical study results and positive outcomes from the use of Spryng. Now I would like to open the line to questions. Operator, can you please inform the callers how to ask questions?
Operator: [Operator Instructions] All right, John, it doesn't look like we have any questions that are coming up, so I'll turn it back to you.
 :
 :
John Lai: Thanks, operator, and thanks, everyone, for your interest in PetVivo. We remain focused on getting Spryng into the market, so we can help companion animals suffering from osteoarthritis. Again, thank you for joining our call today.